Operator: Good day and welcome to the Mondelez International Third Quarter 2021 Earnings Conference Call. Today's call is scheduled to last about one hour, including remarks by Mondelez management and the question-and-answer session.  I'd now like to turn the call over to Mr. Shep Dunlap, Vice President Investor Relations for Mondelez. Please go ahead, sir.
Shep Dunlap: Good afternoon and thanks for joining us. With me today, are Dirk Van de Put, our Chairman and CEO, and Luca Zaramella, our CFO. Earlier today, we sent out our press release and presentation slides, which are available on our website. During this call, we will make forward-looking statements about the Company's performance. These statements are based on how we see things today. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements of risk factors contained in our 10-K, 10-Q, and 8-K filings for more details on our forward-looking statements.  As we discuss our results today, unless noted as reported, we'll be referencing our non-GAAP financial measures, which adjusts for certain items included in our GAAP result. In addition, we provide our year-over-year growth on a constant currency basis, unless otherwise noted. We're also presenting revenue growth on a two-year CAGR basis to provide better comparability, given the impact of COVID on 2020 results. You can find the comparable GAAP measures and GAAP to non-GAAP reconciliations within our earnings release and at the back of the slide presentation. In today's call, Dirk will provide a business and strategy update, then Luca will take you through our financial results and outlook. We will close with Q&A. With that, I'll turn the call over to Dirk.
Dirk Van De Put : Thanks, Jeff. And thanks to everyone for joining the call today. Q3 marked another quarter of high quality top-line growth for our business. These result was marked by a continuation of the solid volume growth that we are used to, as well as higher contribution from pricing as we successfully executed pricing actions in multiple markets in light of the inflationary environments. Demand for our categories remains very strong across both developed and emerging markets, and within those categories, our market share remains higher than pre COVID as a result of strength in execution, activation, and innovation. As you know, like the rest of the industry, we are currently operating in a very dynamic environment that poses multiple challenges.  These include input cost inflation globally, as well as labor and truck shortages in markets like U.S. and the UK. We are taking the appropriate actions to navigate these, including further rounds of pricing and cost control. You will hear more on this in a moment from both myself and Luca later in the call. Despite the current operating environment, we remain focused on and confident in our long-term strategy of delivering accelerated growth through a virtuous, top-line driven cycle, which requires continuous investment in our brands and our capabilities. Let me turn to Slide 5 and the consumer.  During Q3, consumer confidence stabilized in general with a notable call-out of improved confidence in Western Europe, India, and much of Latin America as consumers are now more optimistic about job prospects and personal finances in those geographies. Mobility continues to rise, which provides a boost to gum and candy, as well as the travel retail channel, but both are expected to remain below pre-COVID levels at least through 2022. Ongoing uncertainty is fueling the desire for comfort and indulgence, which has been a consistent trend throughout COVID, and of course this is benefiting trusted brand like ours. All of this means that our core categories are growing faster than they were pre-COVID, and that our portfolio, which skews towards in-home consumption is benefiting.  Demand is strong in developed markets, but especially so in emerging markets. Not withstanding a few smaller markets like Vietnam, which are suffering from continued COVID lockdowns. On top of all this, we have gained share during the COVID period. The elevated demand for our categories is contributing to price elasticity below historical levels. Consumers are willing to pay more for essentials or affordable treats as they spent less on eating and drinking outside the home. Let me spend a moment on the current operating environment on Slide 6.  Like other companies, we are experiencing cost inflation globally, particularly on transportation cost and packaging, which are most pronounced in U.S. Costs have moved higher in the second half of the year relative to the first half, and we expect inflation to persist in 2022. There is also an element of volatility in the supply chain due to labor shortages at third-parties, combined with a significant gap between demand and supply of trucking capacity and containers in places like U.S. and the UK. In addition, there are energy shortages in China as demand has outstripped the supply of electricity in many areas. And as you might be aware, we also had a strike at 3 of our plants and 3 distribution centers in the U.S. The strike is now resolved, but impacted our production output in the quarter.  The good news is that the new contracts give us flexibility and unlock additional capacity to support our growth ambition. COVID-19 continues to cause disruption in certain geographies. This was felt most acutely in Q3 in Southeast Asia and resulted in a temporary closure of our factory in Vietnam, for example. Although challenging, we are managing through all these dynamics. We believe we are well equipped to continue to deliver against our objectives, given the strength of our brands, our continued investments, pricing as necessary, and our focus on execution. Turning to slide 7, you can see that our strategy is continuing to drive a virtuous cycle.  And the results support our ability to consistently deliver profitable, volume driven growth, pricing as needed and return of capital to our shareholders. We grew revenue by 5.5% in the quarter and 5%, sorry, 5.1% year-to-date, a lapping 3.9% growth in the first 3 quarters of 2020. Gross profit growth was impacted by cost inflation and supply chain volatility in Q3, but continues to be well over 4% year-to-date, which we consider to be a very healthy indicator of our ability to deliver the high single-digit adjusted EPS growth that is part of our 2021 outlook and our long-term financial algorithm. Our year-to -- year-to-date working media investments have increased double-digit versus last year.  And combined with our advantage portfolio of brands and our execution and activation capabilities, mean that on a 2-year cumulative basis, we are gaining or holding share across 75% of our revenue year-to-date. And in terms of cash generation and capital return, we increased our year-to-date free cash flow by approximately $400 million versus last year. And we returned $3.1 billion of capital to shareholders. Adding the Q3 revenue growth to our track record of performance since launching our strategy in late 2018, you can see on slide 8 that we are now averaging a 4.1% quarterly growth rate.  And we believe we can consistently grow in line or in excess of our long-term algorithm of 3% plus based on the long runway of growth opportunities we show on Slide 9. And the advantage to enablers, we have to realize them. These enablers include, for instance, increased brand investment, higher quality and purpose-led marketing, and pricing when necessary. This quarter, we continued to make progress against our key growth drivers. These include continuing on our journey to grow Oreo by $1 billion by the end of 2023, with activations like Oreo Pokemon, which became our fastest selling addition of all-time in the U.S., surpassing the previous records set by Game of Thrones and Lady Gaga Oreos.  This also includes expanding our presence in key channels like digital commerce, which grew 25% this quarter on a reported basis, lapping 80% of growth in the previous year. And also emerging markets where we continue to gain distribution in places like China and India with another 120,000 and 80,000 stores added this quarters. And finally, this includes increasing our exposures to high growth segments, where we are underrepresented. For example, well being, where we announced breakthrough innovation this quarter on our largest brands with the Cadbury Plant Bar in the UK, which is suitable for vegans, and our Oreo Zero sugar in China, which has the clear potential to expand to other geographies.  Turning to Slide 10, let me update you on our sustainability journey. Climate change is a critical issue facing our planet and we must do our part to help. We also know that if we want to deliver consistent long-term growth and shareholder returns, we must be a sustainable snacking Company. For those reasons, we recently announced that we will take the necessary actions that we believe will allow us to achieve net-zero emissions by 2050. This is a major target that applies to all greenhouse gas emissions across scopes 1, 2, and 3.  This target also sees us join the United Nation's race to 0 campaign, as well as the science-based targets initiative business ambition for 1.5 degrees where we are strengthening our position from our previous commitment of well below 2 degrees. We plan to deliver net 0 by focusing on the highest contributors to our carbon footprint. In our case, that our raw materials which contribute 71% of our emissions. We will amplify our existing programs like Tolko life and harmony wheat in Support of this. And we will focus on leveraging emerging low carbon technology at our owned operations.  Alongside working towards net-zero emissions, we will continue to advance all other pillars of our ESG agenda, including sustainable ingredient sourcing, diversity, equity, and inclusion, and net-zero packaging. We are excited to continue our journey to build a sustainable snacking Company. With our proven strategy, our preferred brands, our executional excellence, our compounding investments, and our enhanced ESG agenda, I'm confident that we are well-positioned to deliver strong performance for years to come. With that, I will hand over to Luca for more details on our financials.
Luca Zaramella : Thank you, Dirk, and good afternoon. Our third quarter performance was strong across the board. We delivered top-line trends, good operating profit dollar goal, including significant branding investment and excellent free cash flow. Revenue grew 5.5% underpinned by solid volume growth and pricing that we have been implementing to counter unprecedented cost inflation. Emerging markets continued with accelerated growth, displaying the resilience of our categories and strong execution. They grew more than 12% for the quarter, and nearly 9% on a 2-year basis. Our emerging markets results include double-digit growth in Brazil, Mexico, and India, as well as high single-digit growth in China, Russia, and Africa. These markets are attractive growth engines for us. As consumer purchasing power continues to grow, as we feel, white spaces, as we pursue distribution expansion and that's consumers trade up.  We continue to invest behind them in a big way. For the quarter developed markets growth remains solid at 2% with a 2 year average growth of 3%. Demand and consumption trends are robust in these markets. Albeit, supply chain restrictions limited our growth, specifically North America. Turning to Slide 13 and portfolio performance. Biscuits grew 2.7% and more than 5% on a two-year average. Brazil, Russia, and Mexico posted double-digit growth, while India and China grew mid-single-digits. Oreo continues to be a standout performer.  Chocolate grew more than 11% with a two year average of more than 8%. India, Brazil, and France grew double-digits. The UK grew high single-digits, and Russia grew mid-single-digits. Cadbury, Milka and Lacta all delivered robust volume-led growth for the quarter. Gum and candy posted double-digit growth, resulting from a continued improvement in mobility. Moving to market share performance on slide 14. We continue to see good share performance. On a 2 year community basis we have held or gained share in 75% of the business. These skits and chocolate heads or gain in 80% of our revenue base.  Notable share gainers on a 2-year basis include the U.S., China, Russia, and Brazil B scaled, and U.K., Australia, Russia, and South Africa Chocolate. Gum and candy has shown gaining in 30% of our revenue base, primarily due to gum performance in China, Russia, and France. Although still below pre-COVID level, this category continues to improve with mobility trends. Moving to page 15, Gross profit dollars grew 2% for the quarter, reflecting the acute impact of elevated inflation in commodities, as well as transportation and labor costs in North America. While all other regions still face some inflation, they all display GP dollars growth in line with our expectations.  In the short-term, we have adopted our promo and trade deal spending to the elevated cost environment. But as we expect these dynamics to persist into 2022, we have also taken and announced price increases across a significant number of markets. Of note, we announced a new round of pricing last month in the U.S., which will go into effect at the start of next year. Although cost pressures are not as high as in the U.S. we also have a robust pricing agenda for other markets too. We have implemented pricing in Brazil, Mexico, Russia, and Southeast Asia, in addition to other business units. Our goal remains to enter 2022 with improved dollar profitability levels from these actions to support the virtuous cycle which funds continues investment.  Operating income dollars increased 4.5% due to strong overhead management and simplification initiatives. We continue to invest in A&C, which was up almost double-digit in the quarter. On a year-to-date basis, gross margin has increased nearly 5% while operating income dollars that's grown by more than 8%. A&C has increased double-digits. Moving to regional results on Slide 16. Europe revenue grew 4.6% in the quarter and 4% on a two-year basis, while dollars grew 5 -- 4.5% versus last year, reflecting a strong virtual cycle. North America grew 0.3% on top of 6.3% growth last year, resulting in a 2-year average growth of 3.3%. Operating income declined 9.7% in the quarter. Overall, North America results were negatively impacted by service level constraints in the U.S. as transportations and labor shortages have impacted both cost and .  These constraints are primarily impacting our external manufacturing and third-party logistics partners. We expect profit dollar growth to improve in conjunction with recently announced price increases across much of our U.S. portfolio that go into effect as of January 1st next year. For the quarter, the impact of the six-week U.S. strike was mitigated by a business continuity plan, which included increasing inventory levels ahead of it. Nevertheless, there will be an impact in Q4, which I will discuss in our outlook. AMEA posted growth of 5.72% and a 2-year average of 4.9% with broad-based strength apart from Southeast Asia where COVID -related restrictions did impact our Q3. India delivered double-digit growth in the quarter and China delivered high single-digit growth.  AMEA operating income dollars grew nearly 8% while continuing to make sizable working media and route to market investments. Latin America grew 26% in Q3 and 14% on a 2-year average. Brazil and Mexico both grew double-digits while dollars in Latin America grew double-digits over prior year due to pricing and volume growth. Now, turning to EPS on Slide 17. Q3 EPS increased 9.4% at constant currency, driven primarily by operating gains, with year-to-date EPS increase of nearly 9%. Moving to cash flow and capital return on Slide 18. We delivered free cash flow of $700 million in the third quarter, bringing us to $2.1 billion on a year-to-date basis.  We also repurchased approximately $1.8 billion in shares in the first three quarters at attractive prices. I wanted to spend a quick moment on some of the significant improvements in our best facture financing costs and pension costs on Slide 19. Since 2014, interest expense has been reduced by approximately 60% despite an increase in total borrowings with a current average rate of 1.7%. At the same time, we have extended our maturity from 7.7 years to 9.6 years. Similarly pension funding has improved significantly in the recent years to 99% driving material reductions in pension contribution requirements and costs.  And in September, we issued our first , which was the largest to-date in the GPG sector, enabling us to cost effectively fund our sustainability initiatives around focal packaging and now our net 0 carbon target. Let me spend a moment on slide 21 regarding the current  and supply chain environment and our actions. The supply chain environment remains a challenge for us, like many others with higher cost inflation, as well as labor shortages at the 3rd-parties and train transportation capacity. We have a well-established  to mitigate the impact of inflation rate and supply chain pressures over time.  These include successful implementation of price increases as part of our RGM strategy, supported by the strength of our brand. We're also continuing in our journey of portfolio simplification to identify additional SKU reduction opportunities and to improve service levels and overall efficiency. In terms of our manufacturing network, we are taking actions to free up capacity with more flexibility in some of our plants and logistics networks. We also continue to execute our hedging programs of key commodities, which we believe have been effective, as you can tell by looking at our realized and unrealized mark-to-market gains this year.  Overall, we are confident that these initiatives will allow us to offset the majority of the pressures we are currently seeing and will drive long-term profit dollar growth, albeit with some lumpiness given the cadence of pricing and input cost increase. Moving to our outlook on Slide 22. We expect most of the trends that we have experienced in Q3 to extend into Q4, including robust demand for our categories and brands in both developed and emerging markets, continued transportation and labor inflation and supply chain pressure in our North American region, increased focus on Revenue Growth Management activities across a wider span of businesses, high level of investment in our people, friends, markets and capabilities.  Based on our strong results year-to-date, continued categories resilience, and solid demand trends, we are raising our full-year revenue growth outlook to approximately 4.5%. This implies Q4 growth of 3% or nearly 4.5% on a two-year taker and assumes approximately a 1 point of top-line headwind from the impact of the continued transportation and logistic constraints and the recent strikes in the U.S. As the market conditions remain fluid, this outlook does not reflect a material worsening from current environment. In terms of EPS, we continue to expect high single-digit growth for the full year despite the initial pressure from commodities and transportation and labor dynamics in North America.  We also expect free cash flow generation of $3 billion plus. Forex translation is now expected to positively impact our reported revenue by 2% points, and EPS by $0.09 from the year based on current market rates. One note related to our simplified to grow restructuring plan. We have extended the program by 1 year as we're still left with about $100 million of available funds that we plan to spend on high return supply chain and overheads related projects. The overall amount of the restructuring program is unchanged.  So this does not change anything else in our outlook for this next year. Our updated outlook is based on current conditions and does not factor on material degradation in the operating environment that would be triggered by a significant worsening of COVID or supply chain restrictions. To wrap up, we are encouraged by the trajectory of demand for our brands and categories across our geographies. We are confident in our growth strategy and our ability to continue to execute against it going forward. This means balance and consistent top and bottom line growth, continued reinvestment in our business, disciplined cost management, and strong free cash flow generation. With that, let's open it up for Q&A.
Operator:  We'll take a question from Andrew Lazar of Barclays. Your line is open.
Andrew Lazar: Great, thanks very much. 2 for me. First, Dirk, if you could talk a little bit more about key trends you're seeing in both emerging and developed markets, and really the key consumer dynamics there, and then Luca maybe if you could give us a bit more rationale behind the implied deceleration in 4Q organic sales growth and then touch on preliminary expectations for 2022, the top and bottom line. Thanks so much.
Dirk Van De Put : Thank you, Andrew. I'll start and then I can hand it over to Luca. Well, if I look first at emerging markets, they continue to be a major growth engine for us. In Q3, they grew double-digit. Year-to-date, they're growing double-digit, they're high single-digit on a 2-year CAGR, so very strong volume growth, good pricing. And linking that to the consumer, I think what we're seeing is that the consumer confidence is improving in markets like India, big parts of Latin America, they are seeing the vaccine roll out, they're seeing life going back to normal. They feel better about their personal finances and that is reflected in their consumption. At the same time, they still spent more time at home, which benefits our categories.  Particularly the bric k countries are very strong with a very strong double-digit growth in India and Brazil, and high single-digit growth in China and Russia. The execution there in those 4 countries as we've entered this quarter. But at the same time looking at Africa, Poland, Pakistan, Mexico, they're all growing well. The only places in the emerging markets where we see some disruption is in some smaller markets, particularly Southeast Asia, where the COVID cases were quiet severe and there was serious restrictions. We talked about our plant in Vietnam being closed for 3 weeks, and so that has had an effect on Q3 but hopefully that will be temporary.  From developed markets, what I would say, demand is strong but it's a challenging operating environment, particularly in the U.S. So we had big consumption spikes in 2020, particularly in the U.S. But so far we are up 2% in revenue in Q3 and just over 1% year-to-date lapping a very strong last year. But if you look at a two-year CAGR, it's over 3%. That is well above where we were in 2019, where we were growing about 2% in developed markets. And we see the consumer behavior where the consumer on average is spending 15% more time at home than before the pandemic; that is clearly benefiting our categories and our portfolio. Looking particularly or specifically at North America, it's growing well on a two-year CAGR -- almost 4%, but declining slightly year-to-date versus last year.  But again, 2020 was a extremely strong year for North America. The demand remains very robust in biscuits, but the servil -- service challenges in the second half, due to pressures on the logistic capacity, third-party labor and the strike, which is now resolved, had an impact in Q3 and will continue to have an impact in Q4. Europe, we're seeing a very solid quarter, very solid year-to-date, the demand for our core categories is robust. We've got a very strong year-to-date revenue growth for the UK, for Germany, the Nordics. and mass retail, which is lapping strong growth last year is still very good.  And then of course we're benefiting from the recovery in convenience and travel retail as the consumer is regaining mobility. Maybe the other thing that I would say that we are in an inflationary environment. We've been increasing prices and we plan to increase the prices more than we've done, at least in the time that I'm here and probably for quite a while as a Company. For what is good is that the elasticity levels are below historic levels and almost nothing to speak of. So that is helping the overall performance. Maybe over to you, Luca.
Luca Zaramella : Thank you, Dirk and hi Andrew. I'll start with revenue guidance. And as far as revenue goals, I would simply say the business is fundamentally in a good place. You might have seen in the pages that we presented that Chocolate and Biscuit categories are vibrant. On a two-year stock, our share gains are very good. And you might also have noticed that pricing contribution is increasing as you would expect given the cost pressures we are facing. But also that volume is holding up quite well. We can also say that virtually all international businesses are positioned very well for both Q4 and 2022. However, in North America, obviously the 6-week strike predominantly, but also the volatility that Dirk mentioned, is putting some pressure on our supply chain, and that will impact the Q4 performance, in a context where the market is steadily positive and demand is quite good.  So we estimate that mostly because of the strike impact in Q4, that there will be a 1 point of revenue pressure for the whole of Mondelez. So to sum it up, Q4 is still going to be a good quarter, I believe in terms of revenue when considering that there is the one-time strike impact. And at this point, we feel quite good about top line and its momentum into 2022. From a profitability standpoint, we also feel good about the full-year profit outlook. In the end I think you know, that year-to-date GP dollar is up by 5%, EBIT by 8% and all in a context where we are increasing A&C double-digits with over at flat. And I feel comfortable with our EPS high-single-digit guidance for 2021.  Having said that, I have to recognize that there is some GP pressure in Q3 and that will persist into Q4 and partly into 2022. The pressure is due to commodity transportation costs and compounded, quite frankly, by some industry-wide supply chain constraints. North America is driving most of the pressure in the GP line in the quarter, and it is, in fact, the only region that declined GP dollars versus last year with the other regions all above or close to our goal of 4% GP growth year-on-year. We are taking the appropriate actions to counter those cost spikes. We have recently announced a 6% to 7% price list increase in the U.S, which will take effect in 2022, January.  We have also announced pricing in Q4 in Brazil, Mexico, Russia, Southeast Asia, Africa, and across Western Europe. We are leveraging RGM as we said many times, also going after productivity and general cost measures. So we expect sequential improvement versus previous years in the following quarters as more pricing kicks in. So at this point, we believe that our 2022 EBITDA growth will be solid through volume mix pricing, obviously productivity, and we're still contemplating meaningful A&C increases at this point. So 2022 from an EBITDA standpoint should be on algorithm based on what we know today.  because obviously Q1 will be a little bit more pressure and we will provide more clear and comprehensive guidance in the next earnings cycle for 2022.
Andrew Lazar: Thank you.
Luca Zaramella : Thank you, Andrew.
Operator: Our next question is from Nick Modi of RBC Capital Markets.
Filippo Falorni: Hey, good afternoon, guys. This is Filippo Falorni on for Nick.
Luca Zaramella : Hi Filippo.
Filippo Falorni: Hi, I just want to go back to your long-term guidance on organic sales growth of 3% plus, you've shown a slide that since the implementation of your new strategy, you've clearly delivered a 4% organic range pretty consistently and on average, for several quarters now, and you just raised guidance for this year. So I was just wondering in your confidence of delivering a 4% consistently going forward and potentially raising your long-term organic sales growth outlook going forward?
Luca Zaramella : Yes. Maybe I'll start and obviously the  here. Looking the end, we see the long-term algorithm as a baseline. Our categories -- if you look at historical levels, they have been growing at 3 plus percent, and that clearly is a good place to start from. We plan to gain share. So we should be always above the 3% mark and that's really what drives this baseline. In the end, we are more focused on actuals than long-term algorithms. And by executing well, obviously, we aim at being closer to a number that is with 4 than with 3.  And so that's really the rationale behind the long-term algorithm. If there are some catalyst, namely some portfolio changes and more acquisitions, I think that will be the good opportunity for us to revisit the algorithm and declare formally that we aim at something higher than 3% plus. But I think you're right, in the end, the track record we have speaks for itself. We have been steadily delivering higher growth and we plan to do so also going forward.
Filippo Falorni: Got it. Thank you very much, that's helpful. And then a quick follow-up. Your market share performance has been very strong in recent quarters and over the last couple of years, some of your global brands like Oreo have done extremely well. Can you just talk a bit about your local brands and how they've been doing recently and over the last year or so?
Dirk Van De Put : Yes. So historically, our global brands have been growing faster than local jewels, but we have been accelerating the growth of our local jewels and largely through renovations and activations. 2020 was different. There our local jewels grew faster than our global brands because a number of our global brands were impact ed by COVID -related changes in consumer behavior. So Toblerone, for instance, because of travel retail decline, Hall's because it was very limited cough and cold season.  And then Trident because the gum category was impacted by reduced mobility. If you then look at 2021 -- year-to-date 2021, global brands are now growing faster again than local . But both are growing very strongly. Both are in the mid single-digit group. And w'are very happy with where our local brands are at this moment, from flat to declining a few years ago, they're now, as I said, mid-single-digit. We continued to step up brand investments year-over-year and we're going to continue to activate more local jewels over time. So we think we've found the ideal balance, and we continue to continue -- to keep on going as we are.
Filippo Falorni: Great. Thanks, guys. I'll pass it on.
Dirk Van De Put : Okay.
Operator: Thank you. We'll take our next question from Ken Goldman of JPMorgan. Your line is open. And Mr. Goldman, you may want to check your mute switch, your line is open. We'll move next to the site of Brian Spillane. Your line is open. Of Bank of America.
Bryan Spillane : Hi, thank you, Operator. Good afternoon, everyone.
Luca Zaramella : Hi, Brian.
Bryan Spillane : So just two quick ones for me. 1. Just a follow-up on the commentary for 4Q, Luca. Just kind of listening to some of the puts and takes on the gross profit line. Are gross margins in the fourth quarter going to be somewhat similar to what we saw in 3Q or do you expect a further deterioration?
Luca Zaramella : Versus last year, they should be a little bit better. We should have a little bit less pressure. Remember, we are in some emerging markets specifically implementing additional pricing, which went into effect in July, August. And so it should be sequentially better when compared to last year.
Bryan Spillane : Year-over-year, but what about just sequentially? I think it was 38.3% in the third quarter. So is fourth quarter going to be in that neighborhood?
Luca Zaramella : Yes, it would be around that neighborhood a little bit lower, most likely on a pure number.
Bryan Spillane : Okay. And then Dirk, just your perspective on the incremental rounds of pricing that you're taking to offset inflation. And I guess how it'll be different this time. I think if we go back prior to your coming to Mondelez, one of the issues was that there was quite a bit of pricing taken over time to protect or build margins. And it definitely had an impact on volume on demand, it's a big part of what you came in to --to address and change and time you've been at Mondelez so maybe you could just kind of talk about how you've thought about that dynamic this time around and how it will be different, maybe the way your approaching pricing or just what's different about the ability to have some pricing power this time versus the last time Mondelez really tried to lean into pricing to protect or build margin?
Dirk Van De Put : Yes. I mean, as a principal, what we're trying to do is the mixture between volume growth, pricing, and mix, needs to offset the inflation, that's how we think about it. And then on top of that, we have a whole productivity program, which we use to increase our margins. It's different from the past in the sense that we are not as aggressive on pricing, we're not trying to build extra margin because of pricing, we're trying through the mixture of those three things, maintain it as it is. And then the extra comes from the productivity programs. The other big difference versus the past is that we continue to increase year-over-year our investment in our brands.  First of all, our overall A&C pot, but then also how much we are shifting within A&C into working media. So the worst you can do, I think is increase prices and not increase your support for your brands. So we've been supporting our brands now every year more and more. Our media pressure has significantly increased versus 3, 4 years ago. We can see that the brand health is increasing. So I think our brands are now more susceptible to pricing and the consumer should accept it better. Those are the two big differences, Bryan, versus what it was a few years ago.
Bryan Spillane : All right. Thanks. Thanks, Dirk. Thanks, Luca.
Luca Zaramella : Thank you, Bryan.
Operator: We'll take our next question from Chris Growe of Stifel.
Chris Growe: Hi. Good afternoon. Thank you.
Luca Zaramella : Hi, Chris.
Dirk Van De Put : Hi, Chris.
Chris Growe: Hi. I just had a question. First, as we think about a planning assumption for next year as you have some strong pricing going into place, especially in the U.S., do you model as such that the elasticities remain very favorable or do you expect elasticities to be more like their historical average, and then, if you -- it's better than that, that represents upside to your outlook, because that -- I'm just curious how you think about that with what you're seeing with the consumer today?
Dirk Van De Put : Yes. At the moment, what we are modeling is the historical elasticity. We have to take into account also that -- and we know that the current elasticity we're seeing is better. so that would potentially be an upside for us. We also are using what we call RGM, Revenue Growth Management, which is a mixture of different techniques if I can call it like that, and it's not always a straightforward price increase. If I look at the consumer, I think the main thing that's at work here, is that consumer confidence is stabilizing, mobility is on the rise. They have an ongoing desire for comfort, so they want to snack and they're spending more time at home.  All that gives a very strong demand for our categories. Our categories are growing more like 4% around the world versus a 3% that we usually plan for. And so the -- I think that is leading to consumers to almost have no elasticity at the moment. And we hope, or we think that that will remain quite a while. And so I think we don't want to do that in our planning for next year, but we do believe that there might be better elasticity than what we planning for at the moment.
Chris Growe: Okay.And I have one other question in relation to North America, just understand if you had any more detail on and if you gave this forgive me if I missed it, but around costs around the strike. I know you talked about maybe some hit to revenue in the fourth quarter, and then I would contend that you shipped a little below consumption this quarter. Just to understand the effect on the business that we saw this quarter in Q3 from the strike overall, and that's all I had. Thank you.
Luca Zaramella : Yes. Maybe --
Dirk Van De Put : Yep.
Luca Zaramella : May --
Dirk Van De Put : Go ahead. Okay.
Luca Zaramella : Maybe I'll take that. So on the strike from a top-line standpoint, as we said in Q3, the impact is fairly new. There was virtually no impact as we enter the quarter with actively high trade stock, given the elevated consumption, we have depleted that stop. And so there is an impact in Q4, but we quantify together with some other supply chain related issues at one point of revenue for Q4. From a cost standpoint, we have mitigated the cost impact, obviously all the puts and takes are slightly negative, but they are not meaningful on the top P&L profile for Q4. Clearly, some demand pressure -- some supply pressure will put a little bit of a cost strain on the value chain, and we will have a little bit of under-absorption kicking - in in the P&L in Q4, but that's as far as it goes, no material I would say, overall at this point.
Chris Growe: Okay. Great. Thank you.
Operator: We'll take our next question from Alexia Howard of Bernstein.
Alexia Howard: Good evening, everyone.
Luca Zaramella : Hi Alexia.
Dirk Van De Put : Hi Alexia.
Alexia Howard: Hi there. So I have 2 questions. The first one is on pricing. It sounded as though you're getting the pricing in North America in early January and yet you've been able to take pricing in a number of other regions earlier than that. I'm just wondering if there's something structural or procedural in North America that makes it harder, or lengthier, longer to take pricing here and just what -- if you have observations on that. And then my follow-up question is really around the net zero commitments.  I remember a few months ago, I think that was a lesser than to make that commitment that some of the other companies I have made. Did something changed? Did you get better visibility into how you might achieve that goal or is it more about things are changing out in the world after and therefore, you've got to make that commitment and see where it takes you.Thank you.
Luca Zaramella : 
Dirk Van De Put : You think pricing out taking at 0 Luca?
Luca Zaramella : Yes, let's partner here, Dirk. So I -- the simple answer is we had a lot being particularly on promotional activities. Also giving obviously some internal dynamics to our Company which we discussed. We had luck being at promotional windows and promotional activities well before Q2 and that bound us with our customers to certain promo windows and certain promo activities. And we thought that rather than disrupting even further the supply chain, our preference was really to go for a full 100% price increase as of January 1st.  So there might be a couple of quarters of -- at these location. But I think, all-in-all considering all the effects that we had internal and external, it was better for us to go in effect with pricing as of Q1 next year. Obviously, we will be extremely nimble here. We still don't know to what extent logistics costs will spike during the Christmas season and the holiday season in the U.S. So if we see continuous cost pressure, at this point, we cannot rule out additional pricing waves, and at that point, it will be more simultaneous to what we see than it has been this last time.
Dirk Van De Put : Okay. On this zero, the --the thinking was that we wanted to make sure that we have worked as much detail as we potentially could. And so we were a little bit represent in the past few years to declare anything until the team has done their homework. And so they've been working quite hard, we've gone quite deep. I'm being told that it's probably one of the deepest exercises in trying to understand how do you really get there. And so we were really wondering. Hey, will we get there? Can we make a plan that began realistically believe in that it's doable. And then we wanted to know the different details step-by-step, but it means. So if I summarize it a little bit, it's obviously a very significant announcement for us.  It's really an acceleration and an extension of our existing initiative. Applies to all our greenhouse grasses and the full supply chain, so scope 1, 2, and 3. And with this, we are joining the UN race to 0 and the SVTI business ambition for 1.5 degree Celsius. If you look at our footprint, 71% of our footprint is coming from ingredients. And so the 3 big areas to work on is those ingredients, it's our own operations and it's our logistics. And if you think about it, in ingredients, that means that we need to continue and increase our investment in cocoa life. That's one of the big factors.  We have a wheat program related to regenerative agriculture. We need to extend that. We need to make sure that our whole packaging approach is clear on recyclable, but also working on the recyclability and the use of virgin plastic over the years. We needed to get into our operations, understand renewable electricity. We need to reduce food waste which we've done quite significantly, but we need to do more. 50% in our own operations, 50% in our distribution, for instance. We need to change all our ovens.  We need to change all our boilers, and so on and so on. And then in logistics, we need to switch to electric vehicles, hydrogen trucks, work on our warehouse emissions, and change the efficiency of our networks. Just to name a few things of what this means. So the team has worked through all these details and they've come up with a plan that is credible. It's not easy. We've also made a 10-year plan for the Company, Vision 2030, which, during 2022, we're planning and Investor Day around that.  And all the costs of net-zero have been built into that plan, which is another thing that we wanted to make sure of that we had the cost clear. So that's why you felt in the past month we were a little bit hesitant because we were working through this exercise and I really didn't know is this all add up and if this is the plan that we really believe in. But I think we've come up with something strong that the Company feels that we can deliver. It's not going to be easy, but that's why we can make the announcements right now.
Alexia Howard: Thank you very much for all the color.I'll pass it on.
Dirk Van De Put : Okay.
Luca Zaramella : Thank you.
Operator: We'll take our next question from Jason English of Goldman Sachs.
Jason English: Hey, good afternoon, folks. Thanks to spot me in and congrats on a good result.
Luca Zaramella : Thank you, Jason.
Dirk Van De Put: All right, Jason.
Jason English: A couple of questions for me. First, the 6 to 7% price increase in the U.S. that weighted average? Is that what we should actually expect to see flowing? Or is it on partial portfolio, dampening effects? Anything we should be considering as we look to put pen to paper on our models.
Luca Zaramella : It is an overall net average price increase in the U.S. portfolio. So we have announced that for Biscuit, and on average that's the number, we are going with gum and candy as well. Hall's will be a little bit later in the cycle. But all in all it is going to be very close to the 6%, 7%.
Jason English: Got it. Okay. And then sticking in North America, quickly, simplify the growth charges that are being backed out there -- they're pretty substantial, I think roughly $330 million year-to-date. So really chunky numbers. Could you elaborate on what is all this expense that we're backing? And what is the expected return on all this investment?
Luca Zaramella : We announced earlier in the year the closure of the plants. And with all the activities we have been having around the reset of some of the U.S. network, that's really the biggest part of the cost in restructuring. So that's, that's really what it is at this point.
Jason English: And the anticipated return or savings that you expect to be generated from that?
Luca Zaramella : Obviously, we have an internal rate of return expectation that is well in excess of cost of capita. You might imagine that particularly as it relates to the 2 plans, we're going to avoid fixed cost as we go into next year. And so the return is going to be on the high side. On top of that, the strike resolution did gets us additional flexibility. It was a win-win for us and our employees to whom we gave good benefits I believe. But together with the avoidance of fixed cost, the additional flexibility, this program itself is going to yield good returns.
Jason English: Excellent. Great stuff. Pass it on. Thank you.
Operator: We'll take our next question from David Palmer of Evercore ISI.
David Palmer: Thank you. Good afternoon. Wondering if you could talk about the Third Quarter gross margin declined. Your pricing was 3%. How much you think was the impact of input inflation versus other factors like the supply chain inefficiencies in the U.S. and UK? And I have a quick follow-up.
Luca Zaramella : Yes. As I said,in the end when I look at really GP growth across the board for our regions, I feel quite good about what was accomplished across the European business, the EMEA business, and the Latin America business. The pressure can release from North America and it is, quite frankly, mostly attributable to the logistics and transportation cost constraints that we have seen. We also had to acknowledge though, that particularly around some commodities like edible oils, etc. There has been some pressure. So I would say that the GP line pressure comes in Q4 mostly because of the commodity and logistics cost. And it is mostly attributable to the North America business.  And so a s you think going forward, pricing should really improve margins because I believe the cost severity in Q3 is quite high in my goal a little bit further in Q4 and into next year. But it can not fiscally, proportionately the same amount as we have seen in Q2 and Q3, in Q4, and into 2022. So that's a little bit of color around the GP line.
David Palmer: And just a quick follow up to Jason's question about price increases in the U.S., it sounds like those alone -- are those announced price increases might add upwards of a point to your global price number heading into the first half of '22. Is that right? And then I'm just curious for the entirety of '21 for common world travel retail, you mentioned in your prepared remarks that you wouldn't get back to 2019 levels, perhaps even into the end of '22, but that doesn't mean you can't get some of that back in '22. So how far below in '21 were those businesses versus '19? Thanks.
Luca Zaramella : Yeah. Maybe I'll go with the first part and answer the gum and candy questions. I think you know how big North America is in total for the Company and you have a sense of what a 6%, 7% price increase would do. So I think your math is in the ballpark. Obviously the question is, how is volume going to react? And what we're seeing at the moment it is that elasticities are more benign than they have been historically, but we need to see protracted price increases into next year, and we need to see what moving away from some price anchors will do to our consumers. And that's a little bit the question mark at this point. As I said though, for the totality of the Company at this time, I see good revenue momentum going into '22, and I see revenue being on algorithm for next year as well.
Dirk Van De Put : So on on gum and candy can be maybe first on gum. I think it was coming in world travel retail. But on gum roughly, I would say gum drops to about 65% to 70% last year, of what it is in 2019 because of mobility. I think for the total of '21, it's going to be roughly around 85, maybe 90% of where it was in 2019. And then we expect that it will close that gap in 2022. Now, in the beginning of the year, the recuperation was slower. Recently, we have seen an acceleration of the recuperation of gum. So we're talking about double-digit revenue year-to-date, growth of gum, and strong double-digit revenue growth in Q3.  So year-to-date on a 2-year CAGR, were still negative high-single-digit, but as I said, the recovery is going faster. And then we starting to see some markets, particularly China and Russia, where we now have a positive 2-year CAGR on gum. The emerging markets remain attractive for us and the question is really on the developed markets, which is only 2% of our 2020 net revenue. And so that's -- that's really where we expected recovery to be slowest. As it relates to world travel retail, that dropped almost to 0, I would say, It was probably at 5% of what it was before the pandemic.  This year, we will probably get back to depending a little bit what happens at the end of the year we traveled, but maybe 65% 70% and then depending on what consumers decide to do as it relates to travel, that's the big unknown. We will for sure go up significantly next year, but I'm not quite sure that we will see the same amount of travel. And as a consequence, buying on travel as we saw in 2019. So that's still a little bit up in the the air. But we will get close to I think gum will be all the way back. But remember, gum wasn't growing a lot in 2019, so back but no significant growth and world travel retail close, but not completely we think.
David Palmer: Thank you.
Operator: And we'll take our final question from Pamela Kaufman of Morgan Stanley.
Pamela Kaufman: Hi, good evening.
Luca Zaramella : Hi.
Dirk Van De Put : Hi, Pamela.
Pamela Kaufman: How are you thinking about the level of investment needed to support the strong top-line momentum that you've seen? And do you expect to increase brand investment further to support higher pricing? And if so, can you talk about which categories and geographies there might be greater investment behind?
Dirk Van De Put : Yes. I can talk a little bit about the principles and then maybe look or you can go into more detail if, if needed. But in general, we believe that we want out grow our categories, and to outgrow our categories, our brands need to have more visibility, more support, more innovation than others. We believe that i can be achieved with roughly, I would say a 7% to 8% increase year-over-year of our A&C investment. And that's fits into our long-term algorithm, where our expectation is that 1/2 of the growth of 4%+ growth that we want in gross profit year-after-year, that 1/2 of that gets reinvested.  Not all of that goes into A&C, some goes into overheads, part goes into R&D. But overall that's the thinking, and that allows for that roughly 7% to 8% increase, so it's 15 through the long-term algorithm. As it relates to pricing and increasing our investments, we trying to maintain our algorithm. If we see we can get a better top-line, we might do more flowing -- continuously flowing at 50% back into investment. This year, as an example, we have a double-digit increase in our A&C year-to-date, while we are doing the price increases that Luca talked about. Then, the other movement that we're doing is within the A&C investments, we are moving more of the investment in working media.  We have done that now for multiple years. So the investments are really compounding. There is the increase in overall A&C and then the increase in working media within A&C. And then we have also made big strides on the quality, the effectiveness, and the ROI of our marketing. If you talk about where do you want to do more, we have our Local Jewels, which we have given significantly more investment in the last three years. But we want to continue to do that more on the brands that we're already supporting and activate more brands.  And then as it relates to markets where we would do that, probably the -- some of the markets where we are underrepresented, largely emerging markets, that's where we think we should do the biggest increases of our A&C because we still have to the category to support and really build the category for the longer term. That's how I was thinking about it. I'm not sure, Luca, if you want to add something?
Luca Zaramella : No, I think it has been a consistent theme, the one that we have been implementing in the Company in terms of A&C investment. If I look back, I think since 2019, even despite fine tuning the A&C line. in 2020, given obviously COVID, we have been able to increase A&C, I think versus 2018 by 25% f you look between again, 2018 and where we are today. Particularly on the working media, we have been improving quite a bit the situation about what we spend in that P&L line.  And I would also say the quality of advertising and the mix of advertising it has been got improving the ROI quite a bit. And so I think that's one of the things that has made the mobile more sustainable for us. And I think when you look at volume growth, share gains, there is a strong linkage with these investments we have been making in global and local brands.
Pamela Kaufman: Thank you. Can you just give an update on the white space opportunities that you're targeting and how you're leveraging the recent acquisitions to to address these opportunities.
Dirk Van De Put : Sorry. Yes, the wide space opportunities for us are -- I mean, if you look at our building blocks for growth, the first 2 are pretty straightforward. It make sure our categories keep on growing. We are big players in our category, our category growth depends pulsely of us. Second, continue to increase our market share and that gives us a bigger growth. Third, there is the channel expansion that we can do. We are not having the same market share in all channels. Thinking about, for instance, online or digital commerce in the more developed markets. But we're also talking about numerical distribution in emerging markets. As I was saying in the prepared remarks, we are increasing China by 120,000 stores and India by 80,000 stores our presence this quarter alone.  So then on top of that, there's high growth segments within our categories, and so I'm thinking about well-being, thinking about premium, and those are some of the areas that we are underrepresented and that we should be really launching new products in there and using some of the acquisitions that we've been seeing to getting there, for instance, out grenade or  would fit in this category. Then we have geographic wide spaces around the world, countries where we are not yet that present.  And so we haven't done that many yet, although an acquisition like Chipita, which largely plays in East and Central Europe and some of the other emerging markets. Obviously, we'll reinforce our presence, but they're largely in the same countries as we are or where we already have a smaller presence but it certainly will give us more critical mass. And then the last one is the closing adjacencies, which are the bakery and the bar segment.  And so Chipita fits or Give & Go fully fall into that sort of growth opportunity that we have. And so that's the last wide space. So it's between channel, high-growth segments, geographical wide spaces, and closing adjacencies. Those are the 4 big wide spaces that we have.
Pamela Kaufman: Thank you.
Operator: And this does conclude our --
Dirk Van De Put : I think we've come to the end. Yeah?
Operator: Sorry. Go ahead. This does conclude our Q&A session. I'd like to return the call to you for any concluding remarks.
Dirk Van De Put : No. I think we've come clearly through the end. Thank you for your interest in the Company. Happy to reply to more questions. Please contact the Shep and Andrei and we will do whatever we can to help you out. And looking forward to talk to you at the end of the year to give you a full update of where we've ended 21 and give you our guidance for 22.
Operator: Thank you.
Luca Zaramella : Thank you.
Operator: This does conclude today's Mondelez Corporation Q3, 2021 earnings call. You may now disconnect. Everyone, have a good day.